Operator: Ladies and gentlemen, thank you for standing by. Welcome to Gilat's First Quarter 2024 Results Conference Call. All participants are present in listen-only mode. Following management's formal presentation, instructions will be given for the question-and-answer session.  [Operator Instructions]  As reminder, this conference is being recorded, May 8, 2024. By now, you should have all received the company's press release. If you have not received it, please contact Gilat's Investor Relations team at EK Global Investor Relations at 1 (646) 688-3559 or view it in the news section of the company's website, www.gilat.com. I would now like to hand over the call to Mr. Ehud Helft of EK Global Investor Relations. Mr. Helft, would you like to begin, please? 
Ehud Helft: Yes. Good morning, and good afternoon, everyone. Thank you for joining us today for Gilat's First Quarter 2024 Results Conference Call and Webcast. A recording of this call will be available beginning at approximately noon Eastern time today, May 8, which is a webcast on Gilat's website for a period of 30 days. Also, please note that investors are urged to read the forward-looking statements in Gilat's earnings release with a reminder that statements made on this earnings call that are not historical facts may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All such forward-looking statements, including statements regarding future financial operating results, involve risks, uncertainties and contingencies, many of which are beyond the control of Gilat and which may cause actual results to differ materially from those anticipated results. 
 Gilat is under no obligation to update or alter these forward-looking statements, whether as a result of new information, future events or otherwise, and the company expressly disclaims any obligation to do so. More detailed information about the risk factors can be found in Gilat's reports filed with the Securities and Exchange commission. With that said, let me turn to introductions. 
 On the call today are Mr. Adi Sfadia, Gilat's CEO; and Mr. Gil Benyamini, Gilat's CFO. I would now like to turn over the call to Adi Sfadia, Adi you're ready to begin. 
Adi Sfadia: Thank you, Ehud, and good day to everyone. I want to thank you for joining us today for our first quarter of 2024 earnings call. We are pleased with the results of the first quarter, which start 2024 well and is in line with our expectations for the year. The first quarter of 2024 showed strong 29% year-over-year revenue growth, including the contribution of the revenues from our recent acquisition, data path and a solid level of organic growth, which was brought across multiple business areas. The broad interest and good performance was due to continued growing market interest in our solution and advancement in the satellite communication space. 
 I also want to highlight, in particular, that our strategic partnership with the major satellite operators also strongly supported the growth in our business during this quarter. We are pleased with DataPath contribution to the quarter's results. DataPath contributed about 17% to the top line growth and positive adjusted EBITDA. We are already demonstrating our ability to leverage the capabilities of DataPath and Wavestream, our 2 U.S.-based subsidiaries, which I will explain further when discussing our recent activities in the defense sector. In terms of overall bottom line, we improved our adjusted EBITDA profitability over Q1 of last year, which itself was a very strong quarter with a favorable revenue mix by 11% year-over-year. 
 Looking ahead, we are very much on track. And as such, we are reiterating the guidance we gave at the beginning of the year, which Gil will summarize shortly. Now let's move to the business review of the first quarter of 2024. In the very high throughput satellite, the VHTS and the non-geostationary satellite the NGSO constellation business segment -- we continue to lead the market and grow our business with follow-on multimillion dollar orders from our strategic partners, the satellite operators, which mainly includes SES and Eutelsat, among others. This is driven by increasing demand for Gilat's SkyEdge platforms as satellite operators expand their networks and deliver a wider range of applications to a growing number of users. 
 During the last few months, we have been awarded more than $13 million in community orders from several satellite operators to expand their global networks, utilizing Gilat, SkyEdge II-c and SkyEdge for multi-orbit, multi-service capabilities. Overall, we are enjoying an increase in the pace of deployment and installation for both gateway hubs and terminals across mPOWER and other SES geo satellites. In addition, our only owned subsidiary in the United States Wavestream is successfully delivering SSPA to a new NGSO operator for its gateway deployments. 
 We believe this success positions us well as the main SSPA supplier to this operator and potentially to receive the launch of their future business, which is worth tens of millions of dollars. Additional orders from this NGSO operators are expected during 2024. Our increased focus on the defense market segment is already bearing fruit. The acquisition of DataPath was completed in November of last year, and Q1 was the first full quarter, consolidating the revenues into our defense sector under the satellite network segment. 
 We recently announced several new projects that were awarded to DataPath and Wavestream. DataPath received multiple orders during the first quarter, totaling more than $15 million from the U.S. Department of Defense for DKET3421 terminals. This market-leading solution is a transportable Satcom hub that delivers to operational flexibility, capacity, connectivity and control required to ensure connectivity anywhere in the world. Following last quarter announcement that the U.S. Army awarded Wavestream a $20 million contract for the sustained anytime, anywhere satellite connectivity program, we have already received the follow-on orders for more than $12 million. We are providing a 50 watt Ka-Band SSPA for the long-term sustainment of thousands of mobile satellite transportable terminals, which enables the continuous communication on the pause solution across diverse climates and hard conditions around the globe. This order demonstrates Gilat's ability to leverage the capabilities of our 2 U.S.-based subsidiaries. 
 We also received a multimillion-dollar defense satellite connectivity project orders from a leading governmental defense organization. This order includes Gilat's SkyEdge IV platform and Taurus and modems to augment the defense organizations advanced satellite communication capabilities. In addition, a leading defense organization selected Gilat to develop a next-generation software-defined modem for satcom on the move and satcom on the pause military applications valued at millions of dollars. We continue to take -- to make great progress in the mobility sector, demonstrating solid year-over-year growth, developing more products, adding more customers and supporting more verticals. During the first quarter, we made significant progress in developing our electronically steerable antenna for GEO and LEO. 
 Initial test of a GEO proved that antenna designed meet the intended specifications and commercial -- for commercial aviation. Gilat [Indiscernible] further meets and exceeds the performance of existing flat panel antennas while supporting 2 satellite beams simultaneously. Safran Passenger Innovation selected ways to develop, qualify and produce a new line of Ku-band power supply unique products to support their Ku-band ESA, bolstering Gilat's growth in the IFC market. In addition, we received orders for the Taurus modem from Safran for the Airbus HBCplus program as well as from a leading IFC service provider that expands Gilat IFC footprint into the business aviation and government markets. In our enterprise business segment, our customers worldwide continue to depend on us to enhance their business and new opportunities continue to arise. We are witnessing a significant surge in social inclusion project globally. This project aims to bridge the digital divide and empower underserved communities by providing access to essential services, such as education, healthcare and economic opportunities. 
 Communication is the cornerstone of social inclusion and  satellite communication stands out as the key achieving widespread connectivity that surpass the limitation of terrestrial alternatives. We received a $3 million follow-on order for a public WiFi service in Latin America. This project highlights once again the importance of social inclusion project aimed at bridging the digital divide. During the quarter, we also received a significant order for an additional social inclusion project in Brazil. This program will expand WiFi services across the country and require thousands of additional research systems from Gilat over the coming years. 
 In Peru, we are pleased to announce the completion of the construction and implementation of the six regional projects for Pronatel in the Amazonas region. We are now in the acceptance process and expect to be operational later this year. In addition, we are progressing in building the $17 million expansion project in the Amazonas region, expecting to finish the expansion before the end of the year. Furthermore, in Peru, we are expecting additional progress in the next few months. This includes the maturity of several large RFPs with Pronatel and the Peruvian government, as well as several project extensions. We are very pleased with the strong pipeline in Peru for the rest of the year. 
 To conclude, I am pleased with our results for the first quarter which includes the contribution of the revenues of our recent acquisition of DataPath in addition to a solid level of organic growth, which are attributed to the growing interest in our solutions, advancement in the satellite communication market and particularly our strategic partnership with the major satellite operators. 
 We continue to lead with our next-generation platform, the SkyEdge IV, which supports multiple orbit verticals and applications, including our strategic markets of mobility, cellular backhaul and defense. During the first quarter, we made significant progress in developing our electronically steerable antenna for Geo and Leo and expanded the IFC footprint into business aviation and government markets. We have also delivered our SSPAs to a new NGSO operator for its gateway deployments and are seeing increasing opportunities in this line of business. We have a strong pipeline and expect the materialization of important deals over the coming months. 
 With that, I hand over to Gil Benyamini, our CFO. Gil? 
Gil Benyamini: Thank you, Adi. Good morning, and good afternoon to everyone. I would like to remind everybody that our financial results are presented on both GAAP and non-GAAP basis. We regularly use supplemental non-GAAP financial measures internally to understand, manage and evaluate our business and make operating decisions. We believe these non-GAAP financial measures provide consistent and comparable measures to help investors understand our current and future operating performance. Non-GAAP financial measures mainly exclude if and when applicable, the effect of noncash stock-based compensation expenses, amortization of purchased intangibles, lease incentives and amortization, other integration expenses, onetime changes of deferred tax assets, other operating income net, and income tax effect on the relevant adjustments. The reconciliation table in our press release highlights this data, and our non-GAAP information presented exclude these items. 
 I will now move to our financial highlights for the first quarter of 2024. 
 Overall, as Adi mentioned earlier, we are very pleased with the strong start of 2024. We reported a 29% year-over-year growth in revenue. This was driven by 12% organic growth as well as by our recent acquisition of  DataPath that contributed 17% to our growth. Our GAAP gross margin was 38%, and our adjusted EBITDA reached $9.3 million, 11% growth over Q1 last year. We are optimistic about our prospects in our quarters ahead. And as Adi mentioned earlier, we reiterate our guidance for 2024, which I'll cover later. 
 In terms of our financial results in more detail, revenues for the first quarter were $76.1 million, 29% higher than those of first quarter of last year, which were $59 million. The improvement was driven by growth in the satellite network segment and was comprised of organic sources and from acquisition of DataPath, which we closed in the middle of Q4 of last year. We also demonstrated solid growth in the network infrastructure and services business segment. 
 In terms of revenue breakdown by segment, Q1 '24 revenues of the Satellite Network segment were $46.8 million compared to $33.5 million in the same quarter last year. Q1 '24 revenues of the Integrated Solutions segment were $11.6 million compared to $12.9 million in the same quarter last year. Q1 '24 revenues of the Network Infrastructure & Services segment were $17.7 million compared to $12.5 million in the same quarter last year. The increase was derived from higher construction revenues as well as increase in the services revenue. 
 I would now like to summarize our first quarter, both GAAP and non-GAAP results. Our GAAP gross margin for Q1 '24 was 36.9% compared to 41.9% in the same quarter last year. The reduction in our gross margin was mainly due to particularly favorable product and services mix that we experienced in Q1 of last year. In addition, and as we mentioned in the past, DataPath's gross margins are slightly lower than Gilat's average, which impacts the overall gross margin in the current quarter and will continue to do so going forward. 
 As we discussed in previous calls, analyzing Gilat's results on a quarter-by-quarter basis is problematic since they can be significantly affected by our revenue and product mix. I note that the gross margin in the trailing four quarters was 38.2%, similar to 38.5% in the trailing four quarters that ended on March 31, 2023. 
 GAAP operating expenses in Q1 '24 were $22.7 million, an increase of $5 million versus the same quarter last year. In Q1 of last year, we had a onetime cash income of approximately $3 million for an arbitration won in Peru. This quarter, we also have an impact of approximately $0.7 million of amortization of purchased intangibles and other acquisition-related expenses. These impacts are included only in the GAAP numbers. 
 I also note that this quarter we have operational expenses related to the DataPath, which we did not have in the first quarter of last year. 
 GAAP operating income for the quarter is $5.4 million compared to $7 million in the same quarter last year. GAAP net income in the first quarter was $5 million or $0.09 per diluted share. This is compared to a GAAP net income of $5.6 million or diluted earnings per share of $0.10 in the same quarter last year. 
 Moving to non-GAAP results. Our non-GAAP gross margin in Q1 '24 was 37.8% compared to 42% in the same quarter last year. The differential was for the same reasons I mentioned earlier. Non-GAAP operating expenses in Q1 '24 were $22.2 million compared with $19.5 million in the same quarter last year. The increase was mainly due to the consolidation of DataPath. Non-GAAP operating income for the quarter improved to $6.6 million compared to $5.3 million in the same quarter last year. Non-GAAP net income in the first quarter was $6 million or diluted earnings per share of $0.11. This is compared with $3.8 million or diluted earnings per share of $0.07 in the same quarter last year. Adjusted EBITDA for the quarter improved to $9.3 million, an increase of 11% compared with adjusted EBITDA of $8.4 million in the same quarter last year. 
 Moving to our balance sheet. As of March 31, '24, our total cash and cash equivalent and restricted cash net of short-term debt were $98.5 million compared with $95.3 million on December 31, '23 and compared to $89.7 million as of March 31, '23. 
 In terms of cash flow, we generated $4.2 million from operating activities during the first quarter of '24 and net repayment of loans was $2.7 million. DSOs, which exclude receivables and revenues of our terrestrial network construction project in Peru were 76 days, higher than the previous quarter DSO, which was of 64 days. These KPIs is within our normal range of 60 to 90 days. 
 Our shareholders' equity as of March 31, '24 totaled about $281 million compared with $275 million at the end of December '23. Looking ahead, we reiterate our guidance for the year. Our expectations remain for revenues of between $305 million to $325 million, representing year-over-year growth of 18% at the midpoint, GAAP operating income of between $15 million to $19 million and adjusted EBITDA of between $40 million to $44 million, representing year-over-year growth of 15% at the midpoint. 
 That concludes my financial review. I would now like to open the call and would be happy to take your questions. Operator, please. 
Operator: [Operator Instructions] The first question is from Ryan Koontz of Needham. 
Ryan Koontz: Thanks for the questions. And you had nice results, particularly there out of the infrastructure business. I wanted to unpack the Networks business a little bit, if we could there. And in terms of your product mix, how that shifted now with DataPath and how you think about that mix going forward with regards to -- I mean, I guess, maybe the best way to segment it would be defense versus commercial? And how do you see that evolving as the year goes forward between defense and commercial? It sounds like defense is particularly strong for you, but I would like to hear your thoughts on it, please. 
Adi Sfadia: I think it's a bit too early for us to provide such a disclosure. We are not there yet between commercial and defense. But I agree that defense is getting more and more traction. We had a very strong booking quarter. But book-to-ship in the defense, it's usually not in the same quarter, it's over time. So most of the orders that we received were, of course, factored already into our guidance, but we expect to deliver them along the coming 18 to 24 months. We are in initial stages.
 But just a rule of thumb, we said at the beginning of the year that DataPath revenues will be around $45 million. So if you add satellite networks and integrated solutions, defense revenues, overall, defense revenues this year should be above $60 million. 
Ryan Koontz: And in terms of the IFC market, can you maybe update us on your thoughts overall on how you see that segment developing? It sounds like you had some orders or some new wins and a lot of excitement in that category. Can you maybe expand on your kind of broader thoughts about the IFC opportunity for you? 
Adi Sfadia: Yes. Sure. We see a lot of traction in the IFC. We managed to see several orders for several new programs where in some of the cases, the service provider will have dual solutions. So they are adding Gilat modems and solution into the overall solutions. In those cases, they will usually use Intelsat service. But on the aircraft, you will have several modems. We are progressing with electronically steerable antenna development that we received an award for Satcom Direct. In general, we see a lot of traction in the ESA market. This is a very growing segment. It seems like that the shift from flat panel mechanical steered to ESA is now becoming much more effective because of the ability to use one with KU constellation. So we are seeing a lot of traction in this area, and we believe it will significantly push our growth in the next few years.
 In addition, we are having several auxiliary products, new products, like the power supply units that we are providing to Safran for their HBCplus Airbus solution. So overall, we see a lot of traction in the market. We are still getting a nice order for the SSPA for old versions of the terminals. But now we see also a lot of potential with ESA worldwide. 
Ryan Koontz: And pardon me for not knowing, is the ESA product, is that a relatively new product for you that you don't have a meaningful revenue stream from today? 
Adi Sfadia: Correct. Gilat and ESA is --  [Indiscernible] for several years, probably more than 10. We are the leader in electronically steered antenna for different applications in IFC at the beginning. And in 2023, we got an award from Satcom Direct to develop a unique business aviation and government aviation electronically steered antenna that will support a  OneWeb constellation. And in parallel, we are developing a LEO and Geo electronically steered antenna, it will be available slightly after the Satcom Direct antenna will be available. We expect that Satcom Direct will contribute to 2025 revenues. Right now, we are in a development phase. 
Operator: The next question is from Chris Quilty of Quilty Space. 
Christopher Quilty: I want to follow up on that IFC question. I think you mentioned in your script that you had won a  BizJet program. Can you just elaborate on that? I can't remember you playing in that market previously? And was this for SSPA or antenna products? 
Adi Sfadia: Okay. So as you may remember, Satcom Direct is the main player in the business aviation. And with them, we signed the ESA development project for business jet. So we started to play in this market segment a year ago. And recently, we received another order from a leading service provider for Taurus modems for a service provider that will use Intelsat service. 
Christopher Quilty: Got it. So this is a SkyEdge II-c or a IV? 
Adi Sfadia: It can be a combination of the Taurus modems for IFC, can work both on SkyEdge II-c and SkyEdge IV. 
Christopher Quilty: And these are all KU systems? And how much do you think that market can contribute to your overall commercial IFC business? I mean in terms of relative scale with the opportunity... 
Adi Sfadia: I think that the overall opportunity in the business aviation is large. I see Intelsat is playing there. Satcom Direct is playing there and others, and we are trying to penetrate more and more service providers. I think that in the next few years, we'll see a shift from commercial aviation to business aviation and it will drive additional growth. 
Christopher Quilty: Understand. Elephant in the room question, the announcement of the acquisition or merger with Intelsat and SES, that's probably still 1.5 years out. But what are your initial thoughts there? I know you've got presence in both operators? 
Adi Sfadia: Well, this is a very good question, I must say. In general, both SES and Intelsat are strategic partner with Gilat. Our equipment is deeply integrated with both of them. We have Intelsat IFC platform and cellular backhaul solution is there, strategic business for us. And with SES mPOWER, which recently launched their service and SES-17 and all the satellites are working with Gilat, both SkyEdge II-c and SkyEdge IV solution.
 We expected this merger to happen. This time for rumors to announcement  was very fast, usually it took months. We believe that the merger, once approved, will have a positive effect on Gilat and we have one customer and instead of being trying to sell to 2 giants with the road map requirements, we'll have one customer with the road map requirements. And most of our focus will be on delivering for them.
 I think in the short term, definitely, they will continue to buy -- both of them have the plans. Intelsat already committed to several new satellites, and SES is talking about new satellites, so they're willing to continue their plan. I don't think that the merger is to take cost competitor out of the market rather to increase and make 1 plus 1 equal more than 2. And for us, I believe it's an opportunity for future growth. 
Christopher Quilty: Shifting gears, can you quantify -- I don't think you have huge exposure to the American market, but it's pretty ugly out there with Starlink. I just wanted to see whether you have seen any impact on that business? Or is it too small to matter? 
Adi Sfadia: First of all, it's too small to matter. We are newcomers to this market segment and mainly serving SES cruise line. It's relatively not material and we -- from our perspective, regardless, we expect it to grow because it's very small and in initial phases. But definitely, we see more and more Starlink getting traction in this market. 
Christopher Quilty: Shifting gears back to DataPath. You've had a couple of announcements. I think when you closed it last quarter, you had mentioned that post closing, you picked up a $20 million order, and it seems like there's more. Is that still on track for -- I think you've quantified around $50 million a year run rate? Or has it improved from there since post-acquisition? 
Adi Sfadia: Yes. So we received this quarter several large orders through DataPath. And at the beginning of the quarter or the beginning of the year, we said that in 2024, we expect DataPath to be around $45 million in revenues. We decided to be a bit conservative because it's the first year of integration. And sometimes you have hiccups at the beginning. I can say that the first quarter went well. We are on track of achieving those guidelines, and we expect to see a significant growth in years to come. We are recruiting several executives in order to strengthen our U.S. defense presence. Nothing that I can share now, but hopefully, we'll be able to share with everyone. And I think that the defense, especially in the U.S., will be a significant growth engine for us. 
Christopher Quilty: And final question for Gil. Just looking at the OpEx. It looks like the last two quarters, you've run around $25 million of OpEx and obviously a partial quarter for last -- for DataPath in Q4. But there was also a pretty big step up in G&A here in the first quarter. I'm assuming is that timing related? Or is that sort of $25 million quarter OpEx a good run rate? 
Gil Benyamini: So I can say that this Q1 OpEx expenses are representative ones. And this, of course, includes a full year of DataPath acquisition. You should also remember that in our GAAP reports, we include the purchase price allocation expenses and some share-based compensation expenses related to the acquisition and some of these expenses are volatile and may go up or down due to changes in Gilat's share price during the quarter. So this is, of course, relevant only in the GAAP reports. But as a bottom line, this quarter is representing the ongoing expenses in Gilat. 
Operator: The next question is from Gunther Karger of Discovery Group. 
Gunther Karger: Congratulations on excellent quarter. Two questions and one comment. Question number one has to do with satellite backhaul, is there any new developments in that area? And second question has to do with the status of the high-speed trains as they seem to be evolving [Indiscernible]. And any comment on those two questions? 
Adi Sfadia: Okay. So Gunther, nice to speak with you again. So on the cellular backhaul, we continue to lead the market. We are seeing a lot of opportunities in 4G, and we are starting to see some traction on the 5G. Recently, we demonstrate together with one of the largest MNOs in the world on SES satellites more than 1 gigabyte per second to the modem and more than 500 megabit per second to the handset. Those are extremely high speeds of 5G speed. So our equipment is ready, and we have initial sales, but we expect that 5G revenues will ramp up within, let's say, two years. I have to say that first, you take Manhattan. So first, you will have 5G in the cities and only then the operators will handle the rural connectivity. But what we see in the meantime is a lot of orders on the 4G over there, everyone wants to get a decent Internet speed and we see a lot of deployment on the 4G.
 As for high-speed trains, 5 or 6 years ago, there was a lot of traction around it. And then it's relaxed a bit. We are delivering to two high-speed trains terminals. But I cannot say right now that I see a lot of traction, and I expect it to be a significant growth engine. But we have the solution. Our electronically steered antenna will be also be a solution that will fit to that. But if you remember, 6 or 7 years ago, the main problem was that not every antenna can sit on the train because of the vibration. So it's not that simple but it's a market -- or market segment that we are following.
 You said you have another question? 
Gunther Karger: My comment is  long range, having observed the  Gilat since the beginning and through now, you should be congratulated on an excellent growth path and outlook for the future. Thank you very much to you. 
Operator: The next question is from Omri Efroni of Oppenheimer. 
Omri Efroni: I have a bit of questions about the new constellations that are coming out. We have three of them that are really big. We're talking about Kuiper, Iris and  OneWeb. So I wanted to know if -- a bit of talking about the time line that Gilat is supposed to get some answers about the product and services they're going to provide? 
Adi Sfadia: Okay. So I'll start with IRIS2 in Europe. They initiated the RFI process, and we expect them to wrap the information and move to RFP process towards the second half of the year. I believe that the award is expected not before the end of the year, probably the first half of 2025. We need to remember, it's a European governmental project, 20-something countries, everyone has something to say. So we expect it to take some time.
 OneWeb, NextGen or Gen2 is the RFP is ongoing. Gilat is one of two short-listed vendors for the ground segment. And as I said at the beginning of the year, we expect to have more insight towards the midyear. They said that they will announce the award before the end of the second quarter, usually those kind of large RFPs tend to delay a bit. But definitely, they will take a decision this year.
 As for Project Kuiper, Amazon is planning to start service in 2026. So I guess they will need to start equipping the hubs and gateways towards 2025. As we said several times in the past, we are working with several NGSO players, some we cannot name by name. One of the large LEO constellations that we are supporting, we started to deliver SSPAs based on the initial order that we received two years ago, and we expect to get follow-on orders doing the -- if not this quarter, probably next quarter. But the large deployment is expected towards 2025 and 2026. I guess, orders will be -- probably will be towards the end of the year. 
Omri Efroni: I was wondering about the situation in Europe and how it's affecting about on the defense market, especially about the Satcom defense market. And then you have some opportunities to buy and acquire some companies. I think you [indiscernible] in the United States. I was wondering how you think about the European market? 
Adi Sfadia: So overall, I think that it's best to say, but sometimes war is doing good for business and defense, in particular, you see a lot of traction around satellite communication. If you look at news articles about SpaceX in Ukraine, so we see a lot of traction around satellite communication, both in Europe, but not only in Europe. But it's too early to quantify. It's not -- when you work with government, it takes time. Not everything is urgent as it seems in the news. We believe it's the long-term growth on the defense will happen also in Europe.
 As for your second question about acquisition. So we are monitoring and reviewing a lot of opportunities. Some of them are also in Europe. But there is nothing that is relevant to speak right now. Once it will be relevant, we will advise. 
Omri Efroni: And last one for me, last year you said that you want to hire about 200 people. So I'm wondering how it's going on. And if the 200 personnel is still part of the business plan. 
Adi Sfadia: I think we said that at the beginning of 2023, and it was relevant to 2023, where we recruited more than 150 people. We continue to recruit worldwide based on our needs. Once we will get the large award that we spoke before, this will require additional significant head count increase. But right now, we are recruiting only based on immediate needs. 
Operator: [Operator Instructions] There are no further questions at this time. Mr. Benyamini, would you like to make your concluding statement? 
Gil Benyamini: I want to thank you all for joining us on this call and for your time and attention. We hope to see you soon or speak to you in our next call. Thank you very much, and have a great day. 
Operator: Thank you. This concludes Gilat's First Quarter 2024 Results Conference Call. Thank you for your participation. You may go ahead and disconnect.